Operator: Good afternoon and welcome to MACOM’s Fiscal Second Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of today's conference call, instructions will be given for the question-and-answer session. As a reminder, this conference call is being recorded today, Tuesday, April 25, 2017. I will now turn the call over to Steve Ferranti, Vice President of Investor Relations at MACOM. Steve, please go ahead.
Stephen Ferranti: Thank you, Nicole. Good afternoon everyone and welcome to MACOM's fiscal second quarter 2017 earnings conference call. Joining me today are MACOM's President and Chief Executive Officer, John Croteau; and Senior Vice President and Chief Financial Officer, Bob McMullan. If you have not yet received a copy of the earnings press release, you can obtain a copy on MACOM's website at www.macom.com under the Investor Relations section. Before I turn the call over to John, I'd like to remind everyone that management's prepared remarks and answers to your questions contain forward-looking statements, which are subject to certain risks and uncertainties. Because actual results may differ materially from those discussed today, MACOM claims the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. For more detailed discussion of the risks and uncertainties that could result in those differences, we refer you to MACOM's filings with the Securities and Exchange Commission, including its current report on Form 8-K filed today, Quarterly Report on Form 10-Q filed on February 1, 2017, and Annual Report on form10-K filed on November 17, 2016. Any forward-looking statements represent management's views only as of today, April 25, 2017, and MACOM assumes no obligation to update these statements in the future. The Company's press release and management's statements during this conference call will include discussions of certain adjusted non-GAAP measures and financial information, including all income statement amounts and percentages other than revenue referred to on today's call unless otherwise noted. These financial measures and a reconciliation of GAAP to adjusted non-GAAP results are provided in the Company's press release and related Form 8-K, which was filed with the SEC today and can be found at the Investor Relations section of MACOM's website. For those of you unable to listen to the entire call at this time, a recording will also be available via webcast for at least 30 days in the Investor Relations section of MACOM's website. With that, I'll turn the call over to John for his comments on the quarter.
John Croteau: Thank you, Steve. Welcome, everyone, and thanks for joining us today. I'll begin today's call with an overview of our fiscal second quarter results for 2017, and then turn the call over to Bob McMullan, our CFO, who will review our financial performance in further detail. I'll then conclude today's prepared comments by providing a summary of our execution and key highlights during the quarter, followed by an update on our 100 day integration plan for AppliedMicro and guidance for the fiscal third quarter of 2017. Straight to the results; I'm pleased to report that for our fiscal second quarter of 2017 revenue came in at $186.1 million. Adjusted gross margin was 58.5% with adjusted earnings coming in at $0.63 per diluted share. Looking at our end markets, networks was up sequentially with and without the contribution of AppliedMicro were on 46.3% year-on-year inclusive of the acquisition. Multi-market grew sequentially and was up 19.3% year-on-year while Aerospace and Defense was also up sequentially growing 23.3% on year-on-year. Now, let me turn it over to Bob to review our fiscal second quarter financials in further detail.
Robert McMullan: Thank you, John, and good afternoon, everyone. I will review MACOM's fiscal second quarter results and financial position before I would like to provide comments on our GAAP fiscal second quarter results and operating cash flow. MACOM'S fiscal second quarter generated a GAAP net loss of $130.1 million and an EPS loss of $2.14 per share respectively. The results include expenses related to the acquisition of AppliedMicro closed on January 26, 2017 including the non-cash amortization of inventories stepped up to the fair market value. Transaction expenses, certain change in control, payments to former AppliedMicro employees and a non-cash evaluation reserve of $88 million for MACOM’s deferred tax asset recorded as the majority of the $89.8 million income tax expense recorded during the second quarter. Such step-up amortization transaction expenses and change in control payments are common in acquisitions. Prior to the AppliedMicro acquisition, MACOM had an $88 million deferred tax asset balance representing the estimated after tax value of U.S. NOLs and other tax credit carry-forwards primarily from MACOM's previous acquisitions. The current need for the deferred tax asset valuation reserve and the associated P&L expense during the fiscal second quarter was because of the AMCC acquisition and related expenses and the Compute business will cause a MACOM U.S. tax loss in fiscal 2017 [adding] to other U.S. tax losses over the last few years. AppliedMicro added an additional [$70] million to the deferred tax asset balance. MACOM under GAAP rules had to evaluate the reliability of total $158.6 million balance on an all or nothing basis with the data that can change quarter-to-quarter and year-to-year. Today it is influenced by MACOM's previous U.S. tax losses over the past few fiscal years which led us to record the valuation reserve reducing the deferred tax asset carrying value to zero. This is an appropriate and diligent way to account for the change in tax environment. It is important to note that this evaluation reserve does not prevent MACOM from utilizing its U.S. NOLs or other tax credit carry forwards over the next decade. The cash payments from the transaction and change in control expenses were recorded through GAAP operating cash flow not as part of the investing section of the cash flow statement. These onetime payments totaled $28.1 million adjusting cash flow from operations for the acquisition related outflows increased to $400,000 GAAP reported number to $28.5 million. Now to the operating results. Revenue in the fiscal second quarter was $186.1 million growing 39.3% year-over-year and up from $151.8 million sequentially. Revenue including AppliedMicro networks was $140.9 million and 75.7% of total revenues up 46.3% year-over-year. Multi-market $22.9 million and 12.3% of total revenues up 19.3% year-over-year and Aerospace and Defense $22.3 million and 12% of total revenue up 23.3% year-over-year. Of the total network revenue Optical was $67.9 million or 36.5% of total revenue and up 9.4% year-over-year. Data center was $50.6 million or 27.2% and up 268% year-over-year and other network revenue was $22.4 million or 12.1% and up 6.8% year-over-year. Non-GAAP gross profit and gross margin in the fiscal second quarter was $108.9 million and 58.5% of revenues respectively compared to $77.6 million and 58.1% of revenues respectively year-over-year and $86.9 million and 57.2% respectively on a sequential basis. Adjusted gross margins increased sequentially to improve product mix. In terms of operating expenses, total non-GAAP operating expenses were $60.3 million compared to $45.2 million year-over-year and $45.9 million sequentially. Adjusted operating expenses were up 33.4% year-over-year and up 31.4% sequentially due to the inclusion of AppliedMicro expenses for part of the quarter and higher investment levels. Adjusted R&D and SG&A expenses were $34.9 million and $25.4 million respectively in the fiscal second quarter. Non-GAAP income from operations and operating margins were $48.6 million and 26.1% of revenues up 50% in dollars and 7.4% on a percentage basis respectively year-over-year and up 18.7% in dollars and down 3.2% or 90 basis points respectively on a sequential basis. The operating expenses include the partial quarter of AppliedMicro versus the timing of its quarterly revenues cause non-GAAP operating margin to decline which we expect to be a one quarter event. Net interest expense was $6.7 million. Other income of $1.9 million represents income from the consulting contract that continues through fiscal 2017 associated with our automotive business divesture. Our normalized non-GAAP income tax rate for the fiscal second quarter was 10% down from the previous 12% due to the spending mix of international revenues managed by our offshore entities and lower or no tax jurisdictions. As the cash taxes we had refunds and payments of $200,000 which essentially netted to zero. Our fiscal second quarter non-GAAP net income and EPS were $39.4 million and $0.63 per fully diluted share respectively growing from $25.7 million and $0.46 year-over-year and $31.8 million and $0.57 sequentially. Non-GAAP net income grew 53.6% year-over-year and 23.9% sequentially. Non-GAAP EPS grew 36.9% year-over-year and 10.5% sequentially. The share count used to calculate non-GAAP EPS was [indiscernible] shares. Adjusted EBITDA or earnings before interest taxes, depreciation and amortization was $56.6 million up 45.2% from $39 million in our fiscal 2016 second quarter and up 17.1% from $48.4 million sequentially. GAAP cash flow from operations were $400,000 which included acquisition related cash payments of $28.1 million. Cash flow from operations in the fiscal 2016 second quarter was $19.6 million and $20.4 million during the first fiscal quarter of 2017. After deducting capital expenditures and excluding AMCC's acquisition related payments adjusted non-GAAP free cash flow was $17.1 million and 43.7% of non-GAAP net income in the fiscal second quarter compared to $8.6 million and 33% of non-GAAP net income in the fiscal second quarter of 2016 and $15.5 million and 49% of non-GAAP net income sequentially. Turning to the balance sheet, at the fiscal second quarter end our cash, cash equivalence and short term investments were $144.2 million after using a net $256.2 million to acquire AppliedMicro. Accounts receivable were $127.7 million up from $112.3 million sequentially. Day sales outstanding was 63 days compared to 67 days sequentially. Inventories were up to $139.6 million compared to $115.2 million sequentially. Inventory turns were 2.2 times compared to 2.3 times sequentially. Long term debt was $586.2 million inclusive of capital leases. We also had $160 million of availability in an undrawn credit line. Capital expenditures in a fiscal second quarter which included 4.4 of AMCCs related items was $11.4 million or 6.1% of revenue compared to $4.9 million or 3.3% of revenue sequentially. Depreciation expense for the fiscal second quarter was approximately $6.2 million as compared to $5.5 million sequentially. Our investment in capital expenditures exceeded our current levels of depreciation reducing our free cash flow by $5.2 million in the fiscal second quarter. Back to you, John.
John Croteau: Thanks Bob. Let's dive right into it. Last quarter was a watershed moment for MACOM. We saw a fascinating dichotomy between cyclical weakness in our carrier based optical businesses which was more than offset by strong growth in cloud data centers. This underscored our previous realization that this is in fact a separate and distinct growth driver for MACOM and what is arguably the strongest area of cyclical growth in the electronics industry today, cloud data centers. Based on that realization, we've made the decision to focus our resources with top priority on fueling that breakout in what we believe is shaping up to be a predictable, high value growth driver for the Company for many years to come. With rapidly developing backlog, program awards and customer commitments, it's now clear that 100G in greater optical connectivity in data centers is real and are bigger and far sooner than anyone in the industry has predicted including us. In aggregate, revenue from our network businesses grew sequentially as well as year-on-year with and without the contribution of AppliedMicro. Global demand in metro and cloud data centers more than made up for a very strong headwinds in Chinese carrier based deployments in PON and provincial networks. Once again this highlights the virtue of our diversification strategy across regions and markets channels and products which is once again delivered growth despite choppiness and notoriously cyclical carrier deployments. Last month at ROC we observed a distinct transition from a carrier centric to a client centric focus for the show that included MACOM. For those who attended ROC, it was readily apparent from our announcements and our product demonstrations that may come as well positioned with a portfolio standing high performance analog, lasers, silicon photonics, optical subassemblies and mixing [indiscernible] across all protocols and form factors. We're now being sponsored actively pulled by top cloud data center customers to provide various solutions through various customers and channels to fulfill what we expect will be insatiable demand for connectivity for many years to come. Personally I haven't seen such a breakout in our part of the industry since the advent of digital handsets and smartphones decades ago. It's shaping up yes to be that big. Having that said at the architectural table with these major cloud customers thanks to the AppliedMicro acquisition and having shared our vision for delivering requisite technology and economics we believe MACOM is well positioned to meet the requisite capacity, supply chain flexibility and pace of innovation that carrier centric optical players have not delivered to date. It looks like we're facing an extremely supply elastic market, not price elastic supply elastic. Unit to man in cloud data centers will outstrip carrier demand by orders of magnitude. Assuming supply at the right capacity and economics whatever we can produce and for that matter what everyone else in the industry can produce at the right cost will be deployed post-test. Long term share will be determined by short term operational execution. Better yet, the cloud data center is a North American phenomenon that's governed by Moore's Law and fuels hyper growth and cloud based economies. By comparison, cyclical carrier budgets invest at a more deliberate pace and are governed by public policy which has proven time and again to be unpredictable; a great example today is China. For that reason, we view cloud data centers as a long term sustainable, high value market that we are well positioned to service with high performance analog, mixed signal and photonics semiconductors. Given that this market is currently and perhaps perpetually insatiable in demand for greater bandwidth density we've made the decision to focus operational resources on maximizing may come short term share capture in this market above all else thereby maximizing short, medium and long term value to our shareholders. Operational execution and ramping MACOM production will be paramount over the coming months in quarters so top down focus and prioritization is key. Diving deeper into data centers, we had another breakout quarter with 70.3% year-on-year growth excluding any contribution from AppliedMicro. Including AppliedMicro data centers is now 27% of total revenue. It's now the single largest end-market we service and it's poised to be our strongest growth driver as well. There were three major developments last quarter in the space. First, our high performance analog products enabled more than 1.6 million ports in the first half of this year that's up from 1 million for all of last year. This includes everything from laser and VCSEL drivers to CDRs and TIAs across all standards from as SR, PSM4, CWDM4, and LR4, servicing all major cloud service providers. Second, we saw a meaningful revenue contribution from 25 gig lasers into 100G Transceivers. Given the supply elasticity in this market, we've made ramping 25G laser production our top priority from a factory qualification and operational standpoint. The long term economic potential of our Etched Facet lasers and self-aligned L-PIC cannot be overestimated. Short term execution is therefore imperative. Third, [indiscernible] we showcased production units of our Quad L-PIC for C WDM and 400 gig PAM4 as well as our full complement of 400 gig PAM4 products spending five lasers L-PIC drivers and TIAs. We're now working across all customers and channels and delivering these leadership solutions for the major cloud service providers. At this juncture, visibility is good into short term growth in data centers with strong backlog in order intake which we believe will continue to drive growth for the foreseeable future. We will prioritize operational resources on cloud data centers which we expect more than offset any weakness our cyclicality on the carrier side of the business. So moving over to those optical businesses, PON remained weak during the quarter and market demand in inventory challenges persist as we enter Q3 with poor visibility. We remain cautious at our outlook for PON for next quarter. Our value proposition and market position with Edge facet lasers remains intact, our goal at this juncture is to sustain unit share and maximize gross margin dollars in percentage until 10G PON ramps materially which we expect to see in 2018. Metro/Long Haul revenue was up sequentially and up 80% year-on-year. Strength in Metro and additional share gains in other regions more than offset to decline in China. Looking back, there was clearly an inventory build in the December quarter in anticipation of Chinese provincial deployments that have now pushed out. We begin to see a correction last quarter which we expect will become more pronounced in the June quarter. To close out my comments on our optical and data center businesses, last quarter was a great example of the benefits of our diversification strategy and not falling into the trap of servicing the captive needs of one standard one region, one part of the network or one transceiver supplier. We're taking share aggressively and we believe we are uniquely positioned in the highest growth segments of our end markets. MACOM’s ability to deliver its capacity, supply chain flexibility and pace of innovation that's necessary at the right cost structure is cementing our preeminent position as the supplier of choice across our target markets. Now touching briefly on A&D and MMICs, last quarter MMIC revenue across all of our end markets was up sequentially and grew 76% year-on-year. We continue to fill a void in the marketplace that's been left those competitors undergo consolidation. Our A&D business in total grew sequentially last quarter and was up 23.2% year-on-year. While we have healthy, non-perishable backlogs to realize our full growth aspirations, qualifications of certain hire on space products are taking longer than anticipated. Again, demanding backlog remains very healthy in this business so we expect to fully deliver EPS and shareholder value as we anticipated albeit over a slightly longer period. With that let's touch on GaN. We're right on schedule and squarely fixated on completing qualifications for 900MHz and 1.8GHz customer programs in the June timeframe. Again, these are mainstream programs in frequency bands servicing the heart of macrocell base station production today. Last quarter, we broaden those engagements and today have line of sight to more than 20 additional programs from 900 MHz to 3.5 GHz at just our first two lead customers with production scheduled in the December to February timeframe. At this juncture, our ability for that matter our customer’s ability to execute operationally will determine the magnitude and slope of the GaN revenue ramp and major base station customers over the coming quarters and years. Before I close, I'd like to provide a quick update on the AppliedMicro integration. We're right on track with our 100 day plan which is going exceptionally well on all fronts including we've retained all key people, we've integrated all key business at operational systems and we've consummated MACOM engagements with all of their top tier customers notably five of the seven major cloud customers. We also continue to move the ball forward with our process to divest the compute business and are working to bring it to a timely conclusion. I've now had the opportunity to meet personally with AppliedMicro’s top customers and I can tell you that the combined MACOM APM opportunity is more attractive than even we had imagines. The opportunities for MACsec and PAM4 are not only real but the transaction has elevated MACOM to strategic status at major accounts for products and opportunities across our entire portfolio. To put this transaction in perspective though, AppliedMicro and PAM4 is the icing on the cake for MACOM and cloud data centers. The breakout I spoke about earlier has been in high performance and of lasers and silicon photonics for standards well before and beyond single Lambda PAM4. AppliedMicro has accelerated and elevated MACOM’s relevance and preeminence in everything we do and what could be the most exciting cyclical growth driver in our space for many years to come. So wrapping it all up, last quarter was yet another testament to our diversified business strategy across several markets and several growth drivers; we continue to ride the optical super cycle with our Long Haul and Metro portfolio, we continue to lead the technology transition again and at base stations, our MMIC products continue to fill the void created by industry consolidation and last but not least we are well positioned to service insatiable demand in arguably the biggest secular growth driver of them all, connectivity within cloud data centers. For these reasons, you will understand why we remain bullish on MACOM’s ability to continue to outperform as we have over the past three years through good times and bad. With that, let's talk about next quarter guidance. For the fiscal third quarter ending June 30, 2017 we expect revenue to be in the range of $194 million to $198 million, adjusted gross margin is expected to be between 58% and 61% and adjusted earnings per share between $0.67 and $0.71 on an anticipated $66.3 million fully diluted shares outstanding. Operator, you can now open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Harlan Sur of JPMorgan Securities LLC. Your line is now open.
Harlan Sur: Good afternoon and thank you for taking my question. You delivered gross margins, they were good but they were nevertheless in the lower half of your guidance range. It seems like given the growth of the different segment, it was probably mix related but I wanted to get your views on the profile in March and if you could be just help us understand what are the drivers that are going to take gross margins a 100 basis points higher in the June quarter?
Steve Ferranti: Harlan, thanks for that question. There is a mix influences of growth margin. We sees the opportunity given the higher margin data center business and the heavy demand in that marketplace that really flush out more of the power PC embedded revenue that was booked on the last time buy when we acquired AMCC in that margin brought us slightly down. So that has a backlog now that we are still working through towards the end of the year but as that product continues to decline onto the last time buy situation that's how we get the extra 100 basis points. 
Harlan Sur: 100 plus?
Steve Ferranti: 100 plus.
Harlan Sur: Okay. Thanks for the color there. And then that's a good seg win. My next question which is as we think about the June quarter in your revenue guidance at a high level it would seem that the full quarter [indiscernible] of the AMCC'S business is driving most of the incremental revenue growth because you still had a third of the connectivity and embedded business to recognize which would then imply that core MACOM is essentially flat sequentially. Is that the way to think about it? If not could you help us understand what's going and what's not in the June quarter? Thanks. 
John Croteau: Yes. So parts of the portfolio they have nothing to do with AMCC like AMD and multi-market, we are actually growing low single digits. So that's not entirely accurate including the networks businesses low single digits so I would say the one thing that we want to be very clear about and I think I was emphatic is there is no question that there is a cyclical weakness on the carrier-based side of the business. Par remains weak, visibility is low, but you have got the China correction happening with the Metro/Long Haul provincial deployments so there is no question that there is some headwinds in demand. At the same time we are more than offsetting those with the cloud growth and great backlog, great order intake. So it's really a mix bag. So if we didn't have those headwinds in China I think things would be materially stronger. 
Harlan Sur: Okay. Just my last question. As you talk about prioritization of the data center focus maybe John if you help us understand what segments or product areas or manufacturing capacity are you going to take resources from? Is it going to be your PON business which is obviously kind of weak here maybe over the near term or your Metro and Long haul business? Any color would be greatly appreciated.
John Croteau: So I don’t think it had any impacts on the Metro Long Haul but one of the bottlenecks we have short term is availability of material, potential wafers for laser production and actually our revenue for wafer on the data center product to 25 gig is higher than that from 2.5 gig, so it's logical in every sense of the words strategically as well as tactically to allocate scale us materials to data centers. So there is – it's kind of fortuitous frankly that the PON business is soft. We are certainly ramping epitaxial supply but frankly that data center demands is way faster and way bigger than we ever anticipated. If you asked us, probably did ask us 90 days ago we did not anticipate a turnaround as hard as it is. Another interesting thing that there is we actually are hiring back all the people that we had like growing Africa we have downsized Africa to a development fact and we find that we just can't ramp low well fast enough not equipment capacity but product qualifications so we are actually turning Africa back on its production fab to service that short term demand. I think the other place that we bottlenecked is we have awful lot of qualifications going on right now. Part of the stuff we talked about pushing out was qualifications on high one space products. We have got the GaN qualifications we have got 25 gig laser qualifications. We have got the last of the metallic qualifications in Lowell and there is just infinite resources to complete all of these new product calls. So those are some of the trade offs and again we talked last quarter about sticking on mix and that's what this is all about. 
Harlan Sur: Great. Thank you. 
John Croteau: You are welcome.
Operator: Thank you. Our next question comes from C.J. Muse of Evercore. Your line is now open.
C.J. Muse: Yes. Good afternoon. Thank you for taking my question. I guess first question to revisit in an earlier question, can you share with us what AMCC contributed revenue wise and here I would love to hear what was put in data center for the core business and where the power PC revenues resided and then how we should think about the incremental growth in business into June?
Steve Ferranti: See J, we don't break out acquisitions after they are embedded but generally to answer the balance of the question, the majority of the connectivity business is in our network business some of it's in data center some of it is in other non-optical businesses, there is a small insignificant portion that's also classified under the embedded PC business as multi-market.
John Croteau: Yes that's product in sales and printers clearly not a network application. 
C.J. Muse: Okay. Well I guess it's maybe to help us model and understand the gross margin driver, could you help us understand what came through in low margin in margin how should we think of that falling off in the coming Qs?
Steve Ferranti: So the revenue would probably be about the same for the next couple of quarters. It's the – that's not the headwind that it is this quarter because the mix of business in the other product areas are stronger for the higher margins. So what we setup is to keep it consistent over the balance of the fiscal year for the embedded PC products yet the higher gross margin data center business products mix is going to push the margin higher. 
John Croteau: Yes, actually so if I can provide a little more color. So, there is very healthy growth in the underlying connectivity business quarter-on-quarter which is the stuff that’s long term preserved. That is why we did the acquisition. The issue of the embedded Power PC business is an issue of how much we want to bleed and how much dilution we can afford on the gross margin line. So as we said last quarter and we did last quarter the next quarter to we are going to be stick handling that mix so that we don't dilute things too much but we get that backlog behind us. 
C.J. Muse: Got you. I guess as my follow-up, when you talked earlier about supply elastic market as you service the cloud data center. I am curious how do you think about the gross margin profile there today and overtime and as you concentrate your time energy investments on that business does that change the operating profile of the model near term?
John Croteau: No, if it changed it would actually be accretive. Data center business today the high performance analog stuff and the laser margins are at the upper end of our portfolio. And the reason is there is subtle point here but very important. We are talking about we have engineered solutions from the analog specially the lasers and L-PIC which are really geared for scale capacity and cost structures and lot of that is revolving in L-PIC capacity technology for the lasers. This is the same reason why we could take permanent share in PON arguably the most cost sensitive market competing with localized Chinese competitors and have gross margins that are very attractive and very accretive to our corporate average. So because we have those things engineered for cost and design for manufacturer we can supply what is shaping up. I mean the market for connectivity is $40 million grown to $50 million per year-on-year growing projected to be $70 million a few years out. Your question is what's the mix of 10G versus 40 versus 100G and my comment about supply elasticity is we are now hitting the cost per bit such that it seems like literally every unit that we can manufacture will actually ship and drive that conversion from 10 gig or 40 gig up-to 100 gig. In fact we are actively engaged with these customers for 400 gig. So it's literally right now an insensible demand but I think one of the strongest element of MACOM is we engineered the stuff for cost, it's not re-pricing or telecom products at low gross margins. That’s profound difference. Great question though.
C.J. Muse: Very good. Thank you. 
John Croteau: You are welcome.
Operator: Thank you. Our next question comes from the line of Blayne Curtis of Barclays. Your line is now open.
Blayne Curtis: Hey guys thanks for taking my question. Maybe just on the optical business. John, you talked about PON being little bit weaker you would hope that it would bottom just kind of curious your updated thoughts as to is there still inventory and have those other suppliers not backed out and on the flip side you saw strong growth in your data center business. I don't believe you are shipping 25 g lasers yet but you talked about having the fabs ramp back up so can you just talk the timing of bringing 25 g lasers to revenue? 
John Croteau: Yes 25 g is in volume. It's $7 million of revenue both in the form of lasers and embedded in our optical sub-assemblies and our TOSAs so that is in production. The task before us is scaling that from low millions to many millions. So it's and it's now you explain to what we did with the PON when we acquired Buying Optics. We had to scale that in capacity to be able to take that share that's exactly what we are facing this year, a very much in an analogous task and eminently doable. I think I missed the front end of your question.
Blayne Curtis: Just update on the PON market, why I think you said specifically with bottom it sound like it's getting worse.
John Croteau: No. it's not getting worse just we haven't seen clear recovery and it behaves like a commodity market so until the order intake is there and the demand is firm I don't want to be in the business of declaring recovery. But yes there is no question the inventories have been burning down, where they burn down and how well the market, the end market performs is where the ambiguity is. So the message I want deliver is we are not planning on some big recovery to be able to achieve our guidance. 
Blayne Curtis: Got you. And then I just wanted to ask on A&D side, you had good 20% year-over-year growth at one point you are hoping for maybe even better. Just kind of maybe an update there in terms of some of the trajectory on A&D?
John Croteau: Yes so we are backlogged to be able to achieve what I have previously said which is 40% year-on-year growth. Frankly as we face some of these tradeoffs or priorities specifically qualifications for high role space and some of the metallic stuff that's non perishable fungible backlog. We can push that out into subsequent quarter or quarters and focus the priorities instead on the 25 gig lasers where the 25 gig it's the reason why I am emphasizing on the scripted remarks that short term execution is imperative . It's going to be determining long term shares so pushing out some what I would call tactically and debacklog that's non-perishable is a very logical thing to do in the concept of stick-handle mix.
Blayne Curtis: Got you and then sorry for the third one but in that stick-handle mix, I just want to understand Bob's comment you expected this embedded Power PC business will shift through the fiscal year or when do you envision the shipment will start?
Robert McMullan: Blayne the way the order book is coming and remember we noted in last conference call that there was a last time buy issue here. So we have backlog that we can stick-handle that it will proceed to the end of the year and thereafter we don't expect any more business.
John Croteau: Yes. I think the comment last quarter was we are planning to get all of it behind us in this fiscal year. So we can exit the year clean. This was again this was a surprise to us with the business coming in and we executed last time by before closing and there is nothing we can do about how they manage the business between signing and closing. But the quicker we can get through that to be honest the earlier question about gross margin dilution is a bit frustrating for us because the rest of the business is performing quite well in that respect and it's just optically blends out our gross margin. So it's little frustrating. 
Blayne Curtis: Thanks guys. 
John Croteau: Yes. 
Operator: Thank you. Our next question comes from Quinn Bolton of Needham. Your line is now open.
Quinn Bolton: Hi, John and Bob congratulations on the nice strength in data center. John, I just wanted to come back to your comments about the China business you talked about clearly seen in the inventory build in the December quarter and you are kind of working through that in March and I think you said your script that it might get worsen in June and I just wanted to clarify was that comment specifically around China Long Haul and provincial network build or refrain back to your PON business.
John Croteau: No that was specifically the provincial deployments, not PON.
Quinn Bolton: To the 100gig, sorry go ahead John.
John Croteau: Yes, it’s not PON. We are not talking about PON getting worse. PON is eventually getting better it was specifically we started to see some correction the end of last quarter in the 100 gig Long Haul Metro stuff, specifically in China. There would be more pronounced in June.
Quinn Bolton: Okay, and this is a sort of a follow up question on that, I think you have give the splits for optical at 68 million and base center 57 million in the March quarter, it sounds like the optical bucket because of that headwinds in China, the optical bucket probably down but more than offset by growth in data center, is that the right way we would be thinking about in the June quarter?
John Croteau: Yes I believe that's correct, I don't have those numbers in front of me but that's the still positive, that's correct.
Quinn Bolton: Second question, you talked about again on the silicon going through calls now and I think you said expect first order in the December to February timeframe, is that the right timing for us to be thinking about the first production revenue in that December to February timeframe.
John Croteau: Sorry for the confusion in my scripted remarks. So we have the initial programs which would generate revenue as soon we complete the customer calls as planned prior to that but those are just the first two programs one 900 MHz program and 1.6 GHz program, what I referred to in December to February was the 20 additional programs that we have line of at site two where products aligned and we're delivering on customer requirements for those programs my comment was we've got to get through the gates of these first program call before we can secure a business on the subsequent ones. So it would begin to ramp earlier than that but when you talk about really building material revenue you got to get beyond the first two programs and that's December to February.
Quinn Bolton: Got it and then last for you just on the 25 gig laser business, obviously a lot of data come module venders have internal laser production but I think there are number of players in the optical margin space especially in the Asia that they don’t have internal laser production. So I was just wondering if you can comment or do you see in demand from both sort of the captive marginal houses that have internal laser productions for your first shipments to some of the folks that don’t have internal laser production.
John Croteau: So it's both. We're obviously very sensitive to not be disclosing people who also have internal supply but the reality is and I think over time it'll become more obvious, our Etched Facet Technology is singularly and uniquely geared for the capacity supply chain flexibility and cost structure for data centers, taking nothing away from the laser capability our cost structure is something that we can thrive in a market like PON with a value proposition closer to 100 gig to 400 gip level. So I think even those people with their own captive laser supply recognize that and will be a transit I would expect a transition but they'd be inappropriate for us to comment further about those customers and their decisions.
Quinn Bolton: Thank you, John.
John Croteau: You are welcome.
Operator: Thank you. Our next question comes from the line of Tore Svanberg of Stifel. Your line is now open.
Tore Svanberg: Yes, thank you. First question is on data center. So if you just look at your portfolio now, John with the IP portfolio I think you mention in your presentation that you want to be number one in five for data center, can you talk us where you stand there and is there anything else you need to investment at this point to kind of become number one in five.
John Croteau: No, I think we're complete. To be clear we're already number one in the analog content laser drivers CDR and so on I think based upon my comments I just made on the 25 gig lasers I think we're destined pretty quickly to be number one, is a millions of units nice hundreds of thousands to put in context the hundred gig Long Haul Metro data center market even though it's growing 40% compound growth this year and next year it's still only 250 growing to 500 units, we're talking about tens of millions of units two orders of magnitude higher for these lasers so we'll get that economic advantage its then palate into the OpEx which is the silicon photonics with the foot chip laser so and the economics of that start attacking manufacturing costs so we have that. For both CWD and M4 so well before you need M4, NE5 and then you get the icing on the cake as I described it which is the PAM4 single lam 100 gig but also the Quad 400 gig PAM4 and a zero ambiguity with the solution is for 400 gigs. And by the way the real subtlety is with the TOSA/ROSA capability that we picked up aside us, we are not delivering spot components we're providing components at a fully validated to people who can wrap those things and mass volume. So I would challenge people to find someone else with anything close to that portfolio and capability.
Tore Svanberg: That's really helpful and moving into to China, would you be able to share with us what percentage of MACOM’s business is in China for the optical and do you have any visibility at all sort of beyond the June quarter because obviously we heard a lot about the near term weakness but there are some suggestions and maybe second half is going to come back so do you have any visibility at all beyond the June quarter?
John Croteau: Yes, there are two areas of weakness of PON and there's that inventory correction the overall market is not that ugly it's modestly down for two and a half gig, now 10 gig is ramping but it's just not material in 2017 compared two and half gig and it is going to be growth driver for 2018, we've got a great position there but that's future but for PON its inventory situation that was built up with these local Chinese competitors that are now out of business. So that will covered just as the inventory drains the real salient issue of these provincial deployments I mean looking back to September and especially December quarters were like 80% to 90% year on year growth in a market that's growing 40%, some would say 40% port growth still a max I mean those inventory builds and that’s what started correcting and I think June is the bottom of that and if the provincial deployments move forward as expected I think the back half of the year should be a strong recovery.
Tore Svanberg: Very good thank you and just one last question on GaN, so you mentioned that the two initial deployments and then 20 other engagements and December to February timeframe contribution potential from those, were you referring to revenue contribution for those 20 or with that more going to be the timeframe when the calls would be completed with those 20?
John Croteau: So the call issue is much more of the first customer qualifications of programs where they qualify not just again technology but the products in the in entirety designs and the whole thing. Once we get past that gate, we will be able to proliferate into these additional programs through the gate and we have line of site again we have teams that have been servicing these base station guys for decades literally so we've got access we've got all the required customers, we have opened up all the requirements we're delivering on those requirements as the giant gate to get through these first calls The second designs the second wave there that 20 that I referred to becomes infinitely easier once you get past that that initial gate.
Tore Svanberg: That's really helpful thank you John.
John Croteau: You are welcome.
Operator: Thank you. [Operator Instructions] Our next question comes out Mark Delaney of Goldman Sachs. Your line is now open.
Mark Delaney: Good afternoon. Thanks very much for taking the questions. My first question is help me to get up with better understand of the new step segment classifications within networks, so I think you said 50 points fixed for data center, can you help us understand how much of that is tied to the hyperscale cloud customers or is any of that on promised at the data centers.
John Croteau: That revenue set includes the revenue on the OT [indiscernible] and it applied Micro as well right.
Robert McMullan: Traditional standing data centers versus cloud.
John Croteau: Yes I have to apologize I don't have off the top of my head the legate but I would call the legacy OTM [indiscernible] revenue is coming in from AppliedMicro but a big chunk of that right now is the analog content go into the cloud guys. And a very healthy contribution from the 25 gig laser, those in the form of standalone and TOSA’s. So it's really a combination of so I apologize, I just don't have the numbers in front of me to just slip the two.
Mark Delaney: Okay I understand that was the optical piece which I think was 67.9 million this quarter in the December quarter it was 82.5 million that decline for 82.5 to 67.9 was any of that because of this new creation of the data center category so we have got apples to apples the December quarter number would have been lower in optical or is that the in apples to apples decline with an optical?
John Croteau: It was not apples to apples. The previous number we quoted included data centers and what we said, starting this quarter we would separate the two provide greater transparency, net pulling out data centers apples to apples, we are actually up.
Mark Delaney: Okay and then I just trying to understand a little bit more on the provincial decline of the company seen in China, I think the last quarter the commentary was the only issue the company was seen was in was in PON as I recall and it spread and I know the forecast is very difficult, we just can’t at the start of the business but may be you can help us understand a bit more about what was surprising to you guys? What had you been expecting, what your customers and have been telling you and why did that not materialize as you had been anticipating 90 days ago?
John Croteau: Specifically in the PON or…
Mark Delaney: The provincial Metro which is now weaker than I think the company had expected 90 days ago.
John Croteau: Yes, I think what we knew that during the exuberance of the September and December quarters when we go back we were trying to provide some cautionary stuff about diversification as there was clearly an inventory build, the market was not growing at 80% to 90% year on year. So that is not a surprise I think some of the timing of the provincial deployments pushing out and some of the behavior of the customers very recently in recent weeks that's a little bit of a surprise and that's what's behind my comment about things being a little more pronounced in the June quarter. But until the provincial deployments start moving forward we're going to be dealing with customers who are kind of locked up.
Rob McMullan: Yes, Mark Long Haul, Metro on a apples to apples basis did grow this quarter. So we have had substantial growth than prior quarters. It just didn’t live up to that past growth expectations
John Croteau: Mark, what I was just looking through the spreadsheet I have in front of me here. It looks like the legacy part of the AppliedMicro portfolio is about 20% of that27% of total, so about 5% of our total would be legacy on a price.
Mark Delaney: That’s very helpful, thank you.
Operator: Thank you. Our next question comes from the line of Harsh Kumar of Stephens. Your line is now open.
Harsh Kumar: Hey guys I was wondering if you could, John or Bob, give us a sense of how big PON and maybe Metro was in this quarter for you? You gave us a good data on date centers, so I was wondering get the other part.
Robert McMullan: So PON is probably at its low level is under 10% down from few points under 10% of where it was in Q1 and the second part of the question was Metro same thing but we don't break out Metro…
John Croteau: Actually Metro Long Haul was up. So at the beginning of the correction in China but our share gains outside of China actually more than offset what's going on in China.
Harsh Kumar: Okay but I was wondering if I get a percentage so we can get a good idea like how the optical piece is made up of? 
Robert McMullan: It’s not in hand though.
Harsh Kumar: I can get it later Bob. Would you say that maybe I think in some of the earlier calls you would have said that may be you are expecting some initial revenues and [indiscernible] this particular quarter at least the first part of the ramp, I know you said that that's coming later and then there's an additional piece coming in December and February. Is there a reason why it's getting pushed out and just kind of the standard stuff that happens or just early sort of qualifications stuff?
John Croteau: Well certainly in the last ninety days, I apologize if I miss-communicated 90 days ago but very consistent that the qualifications for these initial customer programs are early June that we're still on track with those dates. So if I created a different perception I apologize. But I mean there are certainly delayed from what we had hoped a year or two ago and it's just a long arduous process of getting locked down on these programs and completing all the intensive qualification issues and to put a little color on that you got to realize for base stations you're talking about a product that spends decades in the field, so reliability and qualifications are much bigger deals than, for instance, a consumer product than a handset, but those schedules have been locked for over 90 days now.
Harsh Kumar: I got you. Thanks, and for the last one, I know there was a Compute piece that was up for sale, and I know you're working on your 100-day plan; do you John and Bob feel reasonably comfortable about the potential for maybe possibly selling that business?
John Croteau: Yes. Selling the issue is to whom with what structure transaction, right. We are really stuck that we really can't make public comments at this time because we have got a process going and telegraphing the type of interest and who and at what valuation would be so in inappropriate, but we have had our heads down working that process from the day it closed. We are right on track from the schedules that were locked down there. We just reviewed options with our board, and now we are moving to the next phase, the next round, and those who are still in the process are being informed.
Harsh Kumar: Got it. Thanks guys.
Robert McMullan: I have your answer. So long haul optical data center interconnect this quarter was 26% compared to 28% last quarter.
Harsh Kumar: Awesome. Thanks guys.
Operator: Thank you. Our next question comes from the line of Richard Shannon of Craig-Hallum. Your line is now open.
Richard Shannon: Hi John and Bob. Thank you for taking my questions as well. I guess a few from me. I will start in the data center space. For the June quarter John, are you expecting material growth in [LPEC] or is that coming after June?
John Croteau: So it will be after June. So we have production units and we are completing the designs. I think in the December quarter where we would start seeing the first volume production, but we have the production devices completing qualification. Qualification is not a big issue as it is with GaN, both the customer designs and ramping into production is just the phase that we are in right now.
Richard Shannon: Okay, and when you talk about imperative in the short-term to execute on the data center side, is that specific to [LPEC] or more broadly across data center customers, and curious why that is the case, is there some specific window you are trying to hit here or are you just shifting your strategic focus to that area?
John Croteau: We are absolutely shifting strategic focus. I mean let me give you the context and you can do the math. So in the long haul metro market, which is fantastic, it is growing 40% compound growth from around 250,000, 255,000 units in ’16 up to around 350,000 on the path towards close to 500,000 over a two-year period. It is great and wonderful. To put it in context the unit portsmarket, the number of ports in data centers is 40 million going to 50 million, going to 70 million. That is the TAM. Currently it is 10G, and we are converting 10G and 40G up to 100-G, so if you do the math on the content, and it is, a multibillion-dollar opportunity for us. It is analogous to the magnitude of handsets and smart phones in the compound semi-space. It is a big opportunity. We are very well positioned, and the first thing that comes to mind it is execution on everything, including by the way the PAM4 platform that AppliedMicro comes in with, but the first thing that is paramount is ramping 25 gig laser production. It is in production. There was very material multiple millions of dollars of revenue in 25 gig lasers, enabled revenue in TOSAs, but ramping to the tens of millions of units as we did for PON, I mean we are shipping at peak 5 million to 8 million units per month of 2.5G PON. We need to do the same thing with 25 gig. And we are right on track to do that. It is right within our wheelhouse. It is just there is a lot of execution to be able to ramp that and get the yields up to where they need to be. To be able to deliver – when we do that we uniquely have the capacity, supply-chain flexibility, and we play a very strategic focus role in the industry for those cloud data center guys. The optical industry is not geared to supply that magnitude of units, that magnitude of ports. We have the HPA business, the previous Mindspeed business in Newport Beach that has done that. They are in a lead position in the industry as we rollout the lasers, and lay out the lasers literally on top of the LPECs. That is when we stand alone and then the PAM4 stuff let us in, there is just a lot of operational execution to be able to ramp from what we have done today with analog, which is 1.6 million units in the first half of the year to 10s of millions of units across these products. There is a lot of execution, but if you do the math, you will see the reason why it is unquestionably it dwarfs all else that we do.
Richard Shannon: Okay, I appreciate that perspective John. That makes a lot of sense. Last quick question from me, you talked about within the optical carrier business some share gains in China offsetting a little bit of weakness there. Can you characterize where those share gains are coming from?
John Croteau: Actually the share gain is outside of China.
Richard Shannon: Outside of China, okay.
John Croteau: Yes, and it is North America and Japan, where we – from day one we have had a very strong position with certain Japanese customers and there is an insatiable demand that they have servicing Metro and DCI. This is DCI data center interconnect. Not within data centers, but still coherent. But I mean, we are supply constrained in that space as bizarre as it sounds because some of the product is different than that from China.
Richard Shannon: Got it. Okay, great. That's all that questions from me guys. Thank you.
John Croteau: You're welcome.
Operator: Thank you. That is all the time we have for questions today. Let me hand the call back over to Mr. Croteau for any closing remarks.
A - John Croteau: Very good. So before closing out today’s call, I want to mention that we are going to be hosting a number of investor events over the coming months, including analyst forums in Boston and New York, where we will be focused on our cloud data center opportunity in more detail. That will be during the week of May 15. Stay tuned for additional details. We will also be attending a number of investor conferences during the quarter including the J.P. Morgan conference in Boston, May 23; the Craig-Hallum conference in Minneapolis, May 31; and then two events in San Francisco, the Stifel Tech, Internet and Media Conference on June 5, and the Bank of America Merrill Lynch Global Tech Conference on June 6, followed by two events in New York, the [Stephens Spring Conference] on June 7, and the Citi Conference on June 8. If you would like to request a meeting at one of these upcoming events, please email us at ir@macom.com or contact your sales representative directly. We look forward to providing an update and reporting on our continued progress on next quarter’s call. That concludes today's remarks. Operator you may now disconnect the call.